Operator: Good afternoon, ladies and gentlemen and welcome to Rimini Street Q1 2025 Earnings Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded today, Thursday, May 1, 2025. I would now like to turn the conference over to Dean Pohl, Vice President, Treasurer, Investor Relations. Please go ahead.
Dean Pohl: Thank you, operator. I'd like to welcome everyone to Rimini Street's Fiscal First Quarter 2025 Earnings Conference Call. On the call with me today is Seth Ravin, our CEO and President; and Michael Perica, our CFO. Today we issued our earnings press release for the first quarter ended March 31, 2025, a copy of which can be found on our website under the Investor Relations section. A reconciliation of GAAP to non-GAAP financial measures has been provided in the tables following the financial statements in the press release. An explanation of these measures and why we believe they are meaningful is also included in the press release and our website under the heading about non-GAAP Financial Measures and certain Key Metrics. As a reminder, today's discussion will include forward-looking statements about our operations that reflect our current outlook. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from statements made today. We encourage you to review our most recent SEC filings, including our Form 10-Q filed today for a discussion of risks that may affect our future results or stock price. Now, before taking questions we'll begin with prepared remarks. With that, I'd like to turn the call over to Seth.
Seth Ravin: Thank you, Dean and thank you everyone for joining us. Today, more than 2000 Rimini Street employees in 21 countries help clients leverage our unique proven Rimini SmartPath methodology to achieve better business outcomes, such as significant IT cost savings, more comprehensive hyper-responsive software support and the ability to fund AI, workflow, automation and other innovation investments without the need for any additional IT budget. We achieved this unique capability by helping our clients extend the useful life of their existing ERP and other enterprise software, avoid unnecessary upgrades and then use the savings to fund innovation. We are the leading global third-party support provider for Oracle, SAP and VMware software and we run, manage, support, customize, configure, connect, protect, monitor, optimize and transform enterprise application, database and technology software landscapes. The company has signed and successfully delivered on thousands of contracts with Fortune Global 100, Fortune 500, mid-market, public sector and government organizations, who selected Rimini Street as their trusted proven and mission-critical enterprise software solutions provider. First quarter results. We maintained positive momentum in billings and cost controls during the first quarter. Sales included a mix of our products, services and solutions and a notable acceleration in sales of our new support subscriptions for VMware across a broad set of industries and geographies. We also achieved improved new logo acquisition sales, including major brands and delivered five new client sales transactions in the quarter with TCV over $1 million. Operating expenses and cost of revenue as a percent of revenue declined 5.8% year-over-year due to our continuing cost optimization plan. We believe our focus on offering the right solutions, organizing around the right go-to-market strategy and maturing global sales and marketing execution is continuing to drive better sales execution and was reflected in the 7.2% year-over-year improvement in quarterly billings. The billings growth was primarily driven by a mix of new subscriptions and project-based professional services and geographically led by the EMEA and Asia Pacific regions. New growth drivers. In the first quarter, we continued to make investments that we believe enhance our short, medium and long-term sales growth and profitability. One area of focus is the continued investment in the expansion of our global alliances, partnerships and channels business to drive sales leverage beyond our own global sales force. For example, we continue to execute our go-to-market rollout with ServiceNow in both sales and service delivery. Recently, ServiceNow rolled out the Rimini Street sales playbook to their approximately 6,000 global sellers, and we both are training our sales teams on the joint solution. In service delivery, our engineering teams collaborated on our first joint very successful project for a Brazilian pharmaceutical company, demonstrating our combined capabilities. ServiceNow plans to premier and showcase the client solution at ServiceNow's upcoming Knowledge 2025 event in Las Vegas, May 6 through 8, where 25,000 attendees are expected. We also announced three new partnerships. First, we announced a new partnership with innovative security company, Vali Cyber, whose proven hypervisor security product has been integrated into our support for VMware solution. Second, we announced a new partnership with Workday, certifying Rimini Street as a new provider of application management services for the platform. Hundreds of Rimini Street clients use Workday, and Rimini Street is now offering to run the software for our clients, lowering operating costs, eliminating staffing challenges and improving system operation. Rogerio Almeida, Group Vice President, Global Partner Sales, Workday, stated, Rimini Street's addition as a Workday AMS partner will provide our community with valuable new capabilities for optimizing their Workday environment. Their established expertise in delivering excellent service and helping clients maximize their IT investment will empower Workday customers choosing to work with them to achieve greater efficiency and derive more value from their deployments. Third, we announced a new strategic partnership with T-Systems North America, where we will deliver an integrated approach to enterprise IT support based on Rimini Street's Rimini ONE integrated support and management service for SAP, Oracle and VMware. With the combination of Rimini Street's enterprise software expertise and T-Systems North America's deep knowledge of hosting and cloud infrastructure managed services, organizations will have the opportunity to extend the lifespan of their current IT products and releases, while seamlessly adopting modern cloud and automation technologies such as our ServiceNow solution. Cesar Martinez, CEO and Chairman of the Board for T-Systems North America stated, our partnership with Rimini Street marks a significant step in delivering end-to-end IT solutions that offer enterprises greater flexibility with alternative road maps, efficiency and cost savings. Oracle litigation update. Rimini Street and Oracle have been in litigation for more than 15 years, including cases known as Rimini ONE and Rimini II. With respect to Rimini ONE, which was filed by Oracle against Rimini Street in 2010, the litigation has run its course, and there are no current litigation activities related to Rimini ONE. However, there is a Rimini ONE permanent injunction that remains in effect. With respect to Rimini II, the trial was completed in 2022, and we appealed the District Court's order and injunction. In December 2024, the U.S. Court of Appeals issued many favorable rulings for us and later returned the case to the District Court for further proceedings on the open remaining matters. Oracle sought a rehearing of the appeal, which was denied in February 2025. In April 2025, the District Court issued a modified Rimini II injunction that removed provisions related to findings vacated and overturned by the appeals court and left only the provisions that prohibit Rimini Street's use of four marketing statements no longer in use and prohibit certain practices involving Oracle copyright notices that ceased long ago. Our only remaining active litigation matters with Oracle and the District Court include whether Rimini is liable for certain legacy PeopleSoft development processes and activities, and if so, whether an injunction should prohibit these processes. Oracle lost its claims with respect to its other product lines at issue with the Rimini 2 litigation. And in no case is Oracle entitled to any financial damages. The District Court stated its intention to bring the remaining case items, now solely related to Oracle's PeopleSoft product to final resolution within a year. Additionally, in the Appeals Court, we are continuing to seek the return of $58.7 million in Oracle's attorneys' fees and costs plus interest that we paid under court order in the fourth quarter of 2024 before the favorable Appeals Court opinion. For additional information and disclosures regarding the company's litigation with Oracle, please see our disclosures on Form 10-Q filed today, May 1, 2025 with the US Securities and Exchange Commission. Please also note that at this time, we are unable to provide material additional information beyond the disclosures and statements in our press releases, filings with the SEC and court filings related to current Oracle litigation activity. Summary. We remain focused on driving more leads, building more pipeline and closing more business through detailed methodical sales discipline and execution. We believe the shifts and uncertainties of deglobalization trends and global trade policy are causing organizations to reassess their IT plans and spending, and believe our business will ultimately benefit. We remain confident that we're continuing to take the right actions and making the right investments in a cost-effective manner to reaccelerate growth and improve profitability, enhance shareholder value and bring our litigation with Oracle to a successful conclusion. Now, over to you Michael.
Michael Perica: Thank you, Seth, and thank you for joining us everyone. Q1 2025 results. Revenue for the first quarter was $104.2 million, a year-over-year decrease of 2.4%. Clients within the United States represented 48% while international clients represented 52% of total revenue for the quarter. Annualized recurring revenue was $396.2 million for the first quarter, a year-over-year decrease of 4.7%. Revenue retention rate for service subscriptions, which makes up 95% of our revenue, was 88% with approximately 77% of subscription revenue non-cancelable for at least 12 months. We note that for the quarter, FX movements negatively impacted our total revenue by 1% during the quarter compared to a negative impact of 0.8% for the prior year first quarter. Billings, as defined in our press release, for the first quarter were $79.4 million, up 7.2% year-over-year. Billings, excluding the PeopleSoft associated billings, increased 11.3% on a year-over-year basis. Gross margin for the first quarter was 61% of revenue compared to 59.8% of revenue for the prior year first quarter. On a non-GAAP basis, which excludes stock-based compensation expense, litigation expense and reorganization costs, gross margin was 61.5% of revenue for the first quarter compared to 60.3% of revenue for the prior year first quarter. We are pleased with this gross margin level in spite of lower revenue underscoring our continued focus on driving operational leverage through improved systems, processes and global staffing models while continuing to deliver best-in-class support for a wider array of support, optimization and transformational offerings. Despite our methodical focus on gross margin improvement opportunities through efficiency, we will continue to balance gross margin improvement against investment needs to take advantage of new revenue growth opportunities and believe we have established a strong operating baseline across our full suite of offerings. Operating expenses. Reorganization charges associated with our continuous cost optimization plan for the first quarter was $462,000. At the end of Q1, our net annualized cost reduction efforts totaled $24.3 million reflecting our intentional slowing of aggressive reductions as we assess the ramp of our growth opportunities and the macro environment. We do expect to incur additional reorganization costs during 2025, as we continue to optimize our cost structure in areas where opportunities to streamline our operations exist. Sales and marketing expenses as a percentage of revenue was 32.9% of revenue for the first quarter compared to 36.7% of revenue for the prior year first quarter. On a non-GAAP basis, which excludes stock-based compensation expense, sales and marketing expenses as a percentage of revenue was 32% of revenue for the first quarter compared to 36.3% of revenue for the prior year first quarter. General and administrative expenses as a percentage of revenue excluding outside litigation costs was 16.8% of revenue for the first quarter compared to 17.2% of revenue for the prior year first quarter. On a non-GAAP basis, which excludes stock-based compensation expense and litigation costs, G&A was 15.6% of revenue for the first quarter compared to 15.7% of revenue for the prior year first quarter. Professional fees and other cost of litigation was $1.9 million for the first quarter compared to $2.9 million for the prior year first quarter. The net income attributable to shareholders for the first quarter was $3.4 million or $0.04 per diluted share compared to the prior year first quarter net income of $0.01 per diluted share. On a non-GAAP basis, net income for the first quarter was $8.4 million or $0.09 per diluted share compared to the prior year first quarter of $0.08 per diluted share. Our non-GAAP operating income, which excludes outside litigation spend, stock-based compensation and reorganization expense was $14.5 million or 13.9% of revenue for the first quarter compared to 8.3% for the prior year first quarter. Adjusted EBITDA, defined in our press release was $15.3 million for the first quarter or 14.7% of revenue compared to the prior year first quarter of 10% of revenue. Balance sheet. We ended the first quarter March 31, 2025 with a cash balance and short-term investments of $122.6 million compared to $129 million for the prior year first quarter. On a cash flow basis, for the first quarter, operating cash flow increased $33.7 million compared to the prior year first quarter increase of $11.1 million. Additionally, the effect of foreign currency impact was favorable by $2.8 million for the quarter compared to unfavorable foreign currency impact of $4.4 million for the prior year first quarter. Deferred revenue, as of March 31, 2025 was $256.4 million compared to deferred revenue of $254.3 million for prior year first quarter. Backlog, also referred to as remaining performance obligation RPO, which includes the sum of billed deferred revenue and non-cancelable future revenue was $553.1 million, as of March 31, 2025 compared to $556.9 million for prior year first quarter. PeopleSoft update. In 2024, we announced our intent to wind down our services for Oracle's PeopleSoft product. In our last earnings call, we indicated that we were reevaluating the wind-down decision. We completed that reevaluation and decided it was still the right decision to continue the wind-down plan. We have made progress in reducing both the number of PeopleSoft clients and related revenue since announcing the wind down. PeopleSoft revenue was approximately $7.0 million or 7% of revenue for the three months ended March 31, 2025, compared to approximately $8.2 million or 8% of revenue for the prior year first quarter. Business outlook. The company is continuing to suspend guidance until there is more clarity around impacts from current litigation activity before the U.S. federal courts in the company's ongoing litigation with Oracle. For additional information and disclosures regarding the company's litigation with Oracle, please see our disclosure in the company's Form 10-Q filed on May 1, 2025, with the U.S. Securities and Exchange Commission. This concludes our prepared remarks. Operator, we'll now take questions.
Operator: Thank you. Ladies and gentleman, we will now begin the question and answer session. [Operator Instructions] Your first question comes from the line of Brian Kinstlinger from Alliance Global Partners. Please go ahead.
Brian Kinstlinger: Great. Thanks so much. Good results. I wanted to start with the three partnerships you discussed. While I'm sure they all have great potential, maybe you could help describe which of the three have the largest long-term potential in your view? And then alternatively, which ones do you expect will have the earliest impact meaningfully to your business?
Seth Ravin: Sure, Brian. Seth, here obviously. I think the biggest one in total opportunity is, without doubt the ServiceNow partnership. I think this is one that we truly believe has substantial global legs. I'm working directly with Bill McDermott. We have a vision an aligned vision of being able to take out the latest technology that people want. They want workflow. They want automation. They want the ability to have a single pane of glass to see with enterprise AI across the entire enterprise. And we can bring all that technology on top of their existing systems without major expensive and risky upgrades to ERP and other components. That's a huge market opportunity. The ones with T-Systems, for example, is an opportunity for first and foremost with the SAP side, where they have a very large SAP base across the entire T-Systems operation globally. And we have the ability to extend the life of those systems for people who do not want to move and don't find the value in a move to SAP RISE, which also involves a replatforming. And the same is true with other providers out there who are looking for help for their customers who don't want to move. So I think that's a whole category into itself that represents huge opportunities in the coming years with all those especially with the SAP clients. And then the Workday, of course, that's a very large set of customers that are on the platform. We are working closely with Workday. There's a lot of our customers that want to implement Workday as part of their next-generation systems. And we see a huge opportunity to run those systems for long-term revenue. So that's sort of the makeup of those three. And of course, the security with Vali Cyber and all those are very important because it gives us security nobody else has even VMware themselves doesn't have this security. So it gives us a huge market opportunity to go after their 330000 customers.
Brian Kinstlinger: And in terms of ServiceNow since it's the biggest help investors understand what a reasonable target for a timeframe of becoming meaningful is maybe 2% or 3% of revenue?
Seth Ravin: I think you're going to see meaningful in 2026. The rollout is extensive on a global basis. As I noted, 6,000 sellers are being handed sales tools and playbooks from ServiceNow. They have a lot of things to learn and they are premiering with us at many different events. I'm actually here in Korea today. We did an event here. We had 120 people where our team and the ServiceNow team presented our vision of the future and how to integrate that with existing systems. So, yes, I think you got meaningful execution from a revenue perspective in 2026, but ramping much more significantly in the back half of this year as we put all the pieces together globally.
Brian Kinstlinger: Great. Touching on the U.S. federal government, maybe I missed if you talked about it. You got the press release; you talked about it on your conference call a couple -- about a month and a half ago. First of all, can you size the maintenance from Oracle and SAP they generate from the federal government? And then second given the pace those has cut costs can you help us understand how you think about the sales cycle? And would you need meaningful clearances? Do you have clearances to handle that business or would you have to go through that process for your people?
Seth Ravin: Well it depends. As you said, it's a big amount of Oracle, SAP, VMware, and 1,000 other products that are used by the U.S. federal government. Now, we service governments within military in various countries. So, we do service customers with very high clearance for some of our teams. So, we do have the ability to bring on teams and manage high security clearance operations because we already do it. And the opportunities of course between say a Pentagon and Defense versus the rest of the U.S. government are massive. I would measure the size of that opportunity in terms of billions of dollars on an annualized basis that are spent in software support and upgrades and migrations that are being forced on the government as well just like private industry. So, for us it's an exciting new move into the U.S. federal government. We haven't been there before. We did some work for the IRS in the past, but that's it in the federal government. But now we have the opportunity to expand like we're doing with governments around the world.
Brian Kinstlinger: Great. My last question is deferred revenue is up for the first time in several years on a year-over-year basis looking at the quarter. Does this give you confidence that excluding the impacts of PeopleSoft you'll cross the year-over-year growth mark this year? Is it still uncertain? And then have you changed your view of the exit of PeopleSoft in terms of timeline? I think you've communicated it's going to be gradual. And over time is that still the case or has that changed at all?
Seth Ravin: Well, I think we talked in prior calls we said that a three-year amortization of the wind down we thought was a reasonable period given the fact we have -- I think we're down now to only 130 customers. So, we've significantly reduced the number of customers over the time since we announced the wind down of PeopleSoft as a plan. So, we've continued down that track. And you know it's going to be lumpy. You have different sized customers. They come off a different contract period. So it's not going to be a straight line across and amortized three years. It will be lumpy. There will be bigger quarters than others. But overall, Brian, I would say that, of course, we have confidence that despite the headwinds of the reduction of PeopleSoft on the revenue line, the opportunities we have to grow the business are bigger than that. And yes, we do expect at some point in time to cross over and still have a positive and achieve a positive revenue growth despite the headwinds of PeopleSoft continuing to wind down.
Brian Kinstlinger: Great. I'd just make one comment that, if there are huge chunks of PeopleSoft revenue you know are coming off. While not giving guidance hopefully you can give us a clue of if that's about to happen so investors and sell-side analysts alike can gauge that.
Seth Ravin: Sure. Thank you, Brian.
Operator: Thank you. Your next question comes from the line of Derrick Wood from TD Cowen. Please go ahead.
Unidentified Analyst: Thanks, guys. This is Cole on for Derrick. I just want to start with the continued cost-saving measures into this year. Is that going to be coming out of go-to-market or other areas of headcount where you guys are going to look to get a little bit more efficient? Some more color there would be great.
Seth Ravin: Sure, Cole. So I will tell you that, we've been we've reduced over 100 heads as you saw the count of employees. So we've been very focused on streamlining internal operations first of all from IT on down our processes across the company reducing administrative costs just as we're doing for customers. We brought on a new Chief Information Officer Global, and he is very focused on driving technology into every part of the business and we are reducing labor costs. And we are in fact installing ServiceNow in new areas that we're going to be leaders in the use of ServiceNow, but that is becoming a core platform for us across the company just as we're advocating for our customers. So that is in progress. You're going to see some shift of personnel. Some of those costs are related to rightsizing the teams and putting them in the right area. We've grown Brazil to hundreds of employees that's on its way to a target of 1,000. India has grown. That's on its way to a target of 1,000. And we announced the launch of our Kuala Lumpur operation. We have a very large customer base in Malaysia and doing very well there. And we announced the opening of a center that we're going to hire 1,000 engineers. So our core centers are growing that changes the cost factors on a global basis and again streamlined operations.
Unidentified Analyst: Great. Thanks. And then just one more. Seth the comments on the macro being a positive catalyst for the business, do you have any proof points of that that you could share? Or is this just a broader look at it. And on the flip side of that too is there anything going on between macro tariffs, et cetera, that you think might have a negative impact to growth here in the short term? That would be helpful. Thanks.
Seth Ravin: Sure. Net positive and that's why I use the term net positive, because -- on the plus side, whenever, businesses and even governments don't know where to spend money, how to spend money, we've seen this 2001 in the dot-com meltdown, 2007 and 2009 in the banking meltdown in 2021 when we had the COVID meltdown, all different scenarios. But what happens with any of these organizations is big projects get canceled people move back to cash, because cash is king and they want to hold on to that cash. They lower cost, because again, we've got rising labor costs, overall costs of production are higher, but people are having a hard time raising top line prices because, again, highly competitive, fiercely competitive world and what's getting squeezed are profits. And when profits get squeezed, IT budgets get canceled. IT budgets get reduced. And we are the only people that can come in to have a methodology with our SmartPath methodology where we could reduce cost of labor, reduce cost of system maintenance by taking out the vendors' maintenance replacing it with Rimini Street, saving them up to 90% in total operating costs, when they don't have to do upgrades and migrations and then using that to fund all of this new innovation that's needed for growth, so that we can do both cost cutting and growth in our methodology. And we do all of this within the budget, not above the budget. And that is an amazing opportunity for companies. So yes, I do think that the market and the dynamics in the macro are positive for us. Now, as we warned previously even during the pandemic, you got to watch your renewals, because companies are going to be under potential cost pressure. They're going to be under some cash pressure. That's the side of the business you watch. We did very well, in holding our renewals through 2021. We saw that. We did some great things. We helped customers who are in trouble by extending payment terms. We gave them quarterly payments for example, instead of annual upfront, because we have the cash capability to do that. And in exchange we ask for things like extended contract terms which don't show up. And so those are the things that are really good when we give something to get something that becomes a positive for long-term business as well.
Unidentified Analyst: Helpful. Thanks.
Seth Ravin: Sure, Cole.
Operator: Thank you. There are no further questions at this time. I would now like to turn the conference back to Seth Ravin, for closing remarks.
Seth Ravin: Thank you very much. Appreciate it, everybody joining us. Obviously, we're entering some interestingly complex macro world of deglobalization. And we're watching supply chain challenges. We're watching tariff wars. All of this will play out we believe, in the months ahead. Rimini Street, we believe we are well prepared to help companies navigate these changes. And we look forward to sharing more information with you on our second quarter company call, when we have this at the end of the second quarter results. Thank you very much. And appreciate everybody joining us today. Thank you.